Operator: Welcome to the Third Quarter 2020 Financial Results and Business Update Conference Call for Yield10 Bioscience. During the call participants will be in listen-only mode. The presenters will address questions from analysts today. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference call over to your host, Yield10 Vice President of Planning and Corporate Communications, Lynne Brum.
Lynne Brum: Thank you, Jessi and good afternoon, everyone. Welcome to Yield10 Bioscience third quarter conference call. Joining me on the call today are President and CEO, Dr. Oliver Peoples; Vice President of Research and Chief Science Officer, Dr. Kristi Snell; and Chief Accounting Officer, Chuck Haaser. Earlier this afternoon, Yield10 issued our third quarter 2020 financial results press release. We also issued a press release announcing our collaboration with Rothamsted Research on Omega-3 oils. These press releases as well as slides that accompany today's presentation, are available on the Investor Relations Events section of our website at yield10bio.com. Let's now turn to Slide 2. Please note that as part of our discussion today, management will be making forward-looking statements. These statements are not guarantees of future performance and therefore, you should not place undue reliance on them. Investors are cautioned that statements are not strictly historical constitute forward-looking statements. Such forward-looking statements are subject to a number of risks and uncertainties that could cause the actual results to differ materially from those anticipated. These risks include risks and uncertainties detailed in Yield10's filings with the SEC, including the company's most recent 10-K. The company undertakes no obligation to update any forward-looking statements in order to reflect events or circumstances that may arise after the date of this conference call. Now, I'll turn the call over to Oli.
Oliver Peoples: Thanks, Lynne. Good afternoon, everyone, and thanks for joining our call. Today we will provide an update on the strong progress we have made toward achieving our 2020 R&D and business objectives, including our collaboration with Rothamsted Research Technology, enabling production of DHA EPA Omega-3 oils for use in agriculture. Kristi will then highlight our recent R&D activities. I'll then review the financials and summarize our key milestones for 2020 and beyond. We’ll then open the call to questions from analysts. Now let's turn to Slide 3, our business profile. Yield10 is an agricultural bioscience company focused on developing innovations for sustainable food security. We bring a new approach to trade discovery or platform the Trait Factory leverages 30 years of investment and innovation in synthetic biology to enable efficient identification and validation of genetic changes with productivity traits to increase performance and productivity of crops. We have four world leaders and major crops developing nucleation their seeds and that their cost of risk on the research license agreements. Our Camelina oilseed program is not only core to our trait discovery process, but crop of high potential and its own right. We’re developing commercial Camelina varieties as a platform crop for our specialty products business, focused on nutritional oils and PHA biomaterials. We also continue to increase our patent position with a strong leadership team and have operations in Woburn, Massachusetts and Saskatoon, Canada. Now let’s turn to Slide 4 our market opportunity, we see a compelling market opportunity for our business based on our focus on crop traits driven by four key global trends. These are global food security with increasing overall demand and the rise of protein consumption, health and wellness where consumers are seeking improved nutritional profiles, agriculture and an increasingly important source of protein and essential Omega-3 oils and sustainable growth metrics for value chain security and climate change impact are key and which we believe can be modified with cost competitive products. Each of these trends are addressed by Yield10 to position the company for growth and success. Now let's turn to Slide 5, our recent accomplishments. We've made considerable progress since our call in August, we strengthened our balance sheet with the raise of $5.7 million in gross proceeds and the public offering and concurrent private placement of common stock. We completed harvest of all sites in our 2020 field testing program. We’re progressing of traits in corn and canola building a package of data as a basis to seek research licensed partners reach. We also took additional steps to advance the Camelina business plan. We completed harvest of 50 acres of wealth at Camelina in Montana, we began a field test over winter Camelina varieties in the U.S. and Canada for the 2020, 2021 winter season. And we signed a collaboration agreement with Rothamsted Research for the development of DHA and EPA Omega-3 oil technology and Camelina. Now let's turn to Slide 6 for more detail on Rothamsted. Rothamsted is a world leading nonprofit and is the premier longest running Agricultural Research Institute in the world. They’re based in the U.K. and they have made numerous contributions to modern agriculture. They're also home to a world-leading late stage research program for producing Omega-3 oils containing the fatty acids, DHA and EPA sustainably in Camelina Sativa research championed by Professor Johnathan Napier. We have signed an exclusive research collaboration and a two year option to a commercial license to this important technology. The collaboration will support ongoing research at Rothamsted, Yield10 will continue to focus on development of elite Camelina germplasm as the foundation for future Omega-3 oils and DHA biomaterial commercial lines. We anticipate that will include continued improvement of Omega-3 oil composition, field testing, and feeding studies in salmon. The key objective is to support Rothamsted Research as they continue to advance the DHA EPA Omega-3 trait optimized as a drop in replacement for Southern Hemisphere fish oil. This is a competitive space, so it's no surprise that the type of landscape and fish oil replacements from oilseeds is complex in North America. Going forward, we’ll provide more details on the competitive landscape, reach-out to other parties in the space and our communications going forward, we’ll provide more detail on the competitive landscape. Rothamsted recently published a review of the growing needs and potential of this opportunity. In the near-term, we’ll focus our business developments in South America. The DHA and EPA Omega-3 technology developed at Rothamsted based on advanced, much is based on advanced metabolic engineering and synthetic biology matches your R&D expertise under Camelina business plan. I'm going to look forward to having a productive and successful collaboration and bringing forward land based sustainable production of DHA EPA Omega-3 oils for use in agriculture. Now let's turn to Slide 7 and the market opportunities for DHA EPA Omega-3 Farmed Salmon. Rothamsted Technology could play a significant role in salmon farming to support a single source of DHA EPA Omega-3 oil. The chart on the left shows the growth of farmed salmon although last decade. In most recent years, farmed salmon represents about two-thirds of the harvest. Overall salmon represents about 2% of global protein consumption. And it's a key source of DHA EPA Omega-3s an essential human nutrient. Balance production and consumption is poised to grow considerably in the years to come. One reason for this as you can see in the chart on the right, salmon has good feed conversion efficiency that is positive feed needed to produce a pound of meat. This will be a key driver as a need for protein sources rises with increasing global food demand. Another driver is that the industry has acknowledged that harvesting small fish in the ocean as a source of fish oil Omega-3 is unsustainable and overfishing is already a problem. Therefore developing land based, plant based sources of DHA, EPA, Omega-3 is a critical need and Camelina is very well suited as a platform crop for the production of this oil. One of our near-term market opportunities for Camelina oil, based on the high level of Omega-3 fatty acid ALA is a supplement for fish oil and aquafeed. Yield10 is developing this as a basis for establishing commercial operations. Basically, Phase 1 for bolding our Camelina business on the useful interim solution with a drop in replacement fish oil being Phase 2. Now let's turn to Slide 8, the timeline of the Rothamsted Omega-3 program. Over the last several years, the Rothamsted team has advanced the DHA EPA Omega-3 program to a high technology readiness level. From 2017 to 2019, based on genetic work stock in 2012, the team field tested numerous events deployed in Camelina and good sized pilot trials and demonstrate the production of DHA and EPA Omega-3s in the seed oil. All of the team tested the oil and several feeding studies including salmon, Sea bass and trout to demonstrate the metabolism of plant the oil product closely mimics harvesting fish oil. This harvest conducted in some case published with academic collaborators having links to the aquaculture industry. In 2020, Rothamsted conducted additional field test of DHA EPA Omega-3 Camelina 1 which will be harvested and data is currently being evaluated. The team plan to conduct feeding trials in Salmon and Trout this year by the start of this studies have been postponed due to COVID. This foundational work has positioned the program in the late stage of research and the activities planned another collaboration with Yield10 are intended to position commercial developments. Here the objective will be to further optimize the Omega-3 oil composition to achieve DHA EPA fatty acid levels to mimic hemisphere fish oil for future commercialization, including obtaining regulatory approval for plant and the plant product. Now let's turn to Slide 9 on the sequential launch of the Camelina products business. The DHA EPA Omega-3 technology fits neatly into our Camelina business plan. The development Camelina as a platform crop developing advanced Camelina traits, and elite Camelina germplasm. The general business is focused on natural Camelina oil for a range of uses edible oil, agriculture and animal feed. The DHA EPA Omega-3 technology opens up the market opportunity for a sustainable highly differentiated product for growers and feed producers. We’re leveraging all of these technologies we work on technology development, producing PHA biomaterials and Camelina. Taken together we see a progression of the technology with the market opportunities. Now let's turn to Slide 10, trait progression in major crops. The best way for Yield10 to capture value from [indiscernible] larger crops like soybean, corn and canola issue licensing to the seed companies who don't want the space. Yield10 has executed four non-exclusive research license at Ag major tells the traits of specific crops with the option to negotiate a commercial license. The arrows in the slide indicate the term of the research license agreements. We highlighted the new license of GDM in our August call. The work is underway to deploy our traits and learn germplasm and ongoing work is progressing by Bayer, Forage Genetics and Simplot. We’re currently progressing key in corn and canola. But we plan to identify partners for these important North American commercial crops as we focus our internal resources and trait discovery in Camelina development. I’ll now turn the call over to Kristi.
Kristi Snell: Thanks, Oli. Hello, everyone. The research team has been focused on execution of field tests and on trait discovery and development over the last several months. In addition, we’re excited about the collaboration with Professor Johnathan Napier and his team as it represents a strategic expansion of our technology platform into DHA and EPA Omega-3 oils. Their research program is impressive, and I’m looking forward to further progress and success in the months ahead. Let's now turn to Slide 11. Throughout 2020, we have made steady progress toward achieving milestones in our R&D programs. We completed harvesting for our 2020 field test programs at sites in the U.S. and Canada in the third quarter. These trials are evaluating several novel seed yield and oil traits in Camelina and canola, data analysis is currently underway and we plan to begin reporting data in the fourth quarter or early 2021. We're evaluating seed yield, seed oil content, PHA content, and agronomics depending on the trait which will provide us with important data and inform our R&D priorities for 2021. We continue to evaluate and progress other earlier stage traits in our Camelina pipeline and we have intensified efforts in 2020 to develop advanced commercial Camelina varieties, those optimized for yield oil content, herbicide tolerance and disease resistance. This work will produce Camelina platform varieties production of nutritional oils, including the DHA and EPA Omega-3 oil and PHA traits. We’ll also work on the development of commercial PHA Camelina events. Throughout 2020, we have continued to advance our yield and or oil trades and canola and corn, where our plan is to identify partners for research licenses. In the major commercial crops, we’re supporting partners in their ongoing evaluation of our traits. This includes GDM, who has begun working with our traits after signing a research license in August, as well as Bayer, Simplot and Forage Genetics. I would like to thank our team for staying focused on our objectives for 2020 and positioning us to generate a range of data and proof points in the coming months to further develop our Camelina technology for specialty products. Oli, back to you.
Oliver Peoples: Thanks, Kristi. Please turn to Slide 12 and let's cover a few financial highlights. We ended the third quarter with $11.8 million in cash, cash equivalents and short-term investments. This includes net proceeds of $5.3 million we received from completing offerings of common stock in August. We have no debt in our balance sheet. Our net operating cash usage is $2.1 million for the third quarter and $6.3 million from the first nine months of 2020. We expect our cash on hand together with expected revenues from our current government will support our operations into the end of 2021. Based on our financial results year-to-date, we remain on track with our estimate of net operating cash usage for the full-year 2020 within the range of $8.5 million to $9 million, we’re directing this investment towards executing our business plan. Let's now review the third quarter operating results. The company reported a net loss of $2.2 million for the third quarter of 2020, compared to a net loss of $2 million for the third quarter of 2019.  Total research grant revenues in the third quarter of 2020 were $204,000 versus $224,000 in the third quarter of 2019. Our ability to conduct research under the DOE grant was not effective in a significant way in third quarter, and we expect to be able to conduct the research plan in the months ahead. In the third quarter of 2020, research and development expenses were $1.3 million, and general, and admin expenses were $1.1 million. This compares to $1.2 million of research and development expenses and $1 million in general and admin expenses in the third quarter of 2019. For more details on our financial results, please refer to the earnings release under third quarter 10-Q. Let's now turn to Slide 13, upcoming milestones. In 2020, we’ll continue to focus on the following milestones completing our field, 2020 field testing program to generate agronomic and yield data for C3004 in Camelina, advanced genome edited oil boosting traits and putting E3902 line and C3007 Camelina line cleared by USDA-APHIS, report results from the study starting in Q4 2020, Q1 2021 and communicating field test of 2021. Progressing the Camelina products business plan, we will be talking about developing advanced commercial Camelina varieties with agronomic traits including herbicide tolerance, disease resistance and oil and yield traits. Developing the commercial launch plan for Camelina oils. Establishing agreements for logistics and toll seed crushing to provide samples of Camelina oil and meal for prospective commercial AllState Partners, developing relationships with growers to enable larger seed bulk up and acreage expansion in the 2021 growing season, pending success in business development. Securing strategic industry collaborations and revenue generating commercial trait licenses, progressing of traits in corn and canola while seeking to secure partners and supporting Bayer, GDM, Forage Genetics, and Simplot in the evaluation of the traits in the respective crops and underpinning all of this expanding into actual property portfolio. With that, I’d like to turn the call back over to Lynne for a few questions.
Lynne Brum: Thanks, Oli. Jessi, you can now pull out analysts for questions.
Operator: [Operator Instructions] Our first question comes from the line of Sameer Joshi with H.C. Wainwright. Please proceed with your question.
Sameer Joshi: Thanks. Thanks for taking my question. The first question is about this Rothamsted relationship. What exactly would you be working on, is it increasing the yield or oil content or any other characteristics? And then what is the endpoint? Are you measuring the oil content of the fish that is that feeds fish or other further clinical studies in humans that will be the endpoint?
Kristi Snell: Thanks, Sameer. Thanks to your question. I'll turn it over to Oli. Oli?
Oliver Peoples: Hi, Sameer. Good to talk to you, Sameer. Yes, in reality, Rothamsted has already progressed, it's not extensively, they've not only demonstrated the production of Omega-3 oils with good levels of EPA DHA in Camelina. They've actually carried out field trials, we've carried out recovery processes to purify the oil and they've done extensive fish feeding trials at the number of locations, so what they're really going to do and focus on is really optimizing the trait. That's a program that's been going on for several years under Johnathan Napier’s stewardship. And obviously, they are the world experts in Omega-3 oil production oilseeds. So we're delighted to have the collaboration. In regard to what Yield10 is doing, in addition to supporting the Rothamsted Research program financially, we have an exclusive option to an exclusive license to the technology of choice. And more importantly, we are developing advanced lines of Camelina increasingly looking at herbicide tolerance, disease resistance, and obviously you're well aware of the oil plates you already have. And given that the Omega-3 oil business EPA, the DHA, EPA oils business is really about the value of the oil from the seed. Obviously, increasing seed oil content is a key financial driver as increasing overall seed, we're really continuing to do the work, we were doing anyway. It's just that as Rothamsted further enhances the DHA, EPA oil trait, we’re building a platform which we’ll be able to deploy that in the future. The second thing Yield10 is doing is really looking very extensively at near-term commercial, commercialization based on potential opportunities in South America, we have still have a fair amount of diligence to do in that location. But we are well aware that Chile is about 30% of global salmon production itself. Obviously, there's a market in South America for these types of products, on a strong divert towards using more sustainable feed in aquaculture in general. So we're very pleased with this relationship. Very excited about it. The synthetic biology program that Johnathan has actually carried out over the last decade is remarkable and very successful one. So we’re delighted to be involved with them and have the option to secure exclusive license.
Sameer Joshi: And so is there any kind of monetary commitment for this program? Or is it going to be off of your regular R&D budget?
Oliver Peoples: Excited to be included in our projections. It's actually included in our projections for costs, costs are sort of estimated cash use for next year, we haven't given clear guidance on that. But we don't see building the overall run rate, yes we’re allocating resources to this judiciously.
Sameer Joshi: Understood, and then moving onto partnerships, you have partnership with Bayer, GDM, and Forage and Simplot, any other license in collaboration to be expected in the remainder of this year? And are there other traits that these companies actually are working with the same company?
Oliver Peoples: Well, so yes, in fact, in the GDM situation, we haven't disclosed what traits are working on here. That's not their request. But in addition to the fact that we’re looking for potential partners with Canola and Corn for our traits, we really have been looking pretty extensively at potential partners, two partners in the Camelina business, there's obviously a growing demand for increasing vegetable oil per acre of land in North America to supply, I would say, the emerging interest in what we call renewable diesel commodity for the California market. It's not something that we’re pursuing ourselves. But certainly, we see opportunities in terms of the products that we intend to make potential agreements. When we move into the PHA biomaterials, which we didn't speak, talk very much about today, that program is moving right ahead, obviously, producing PHA biomaterials or maybe address several markets including water treatment applications, feed applications, and bioplastics applications, which has enormous potential. Hopefully later this year, our next report the data we have generated from this use [indiscernible] PHA biomaterials. But again, when you look at the potential number of partners in those areas, it's a multiple of what's possible, when you talk about traits just for the major crops.
Sameer Joshi: Understood, you referred to the 2020 field test data, is there any preliminary data, high level information that you could share at this time, or should we just wait for you to get published?
Oliver Peoples: I think it's too early. Yes, it's too early to provide any kind of guidance on that Sameer, I think obviously, we'll just wait for data and then we can provide a very clear picture as that.
Sameer Joshi: Okay, one last one on cash usage of $8.5 million to $9 million. Does that include any one-time cash usage that you may have incurred, for example, for the capital raise or some other activity?
Oliver Peoples: Yes, that's basically the total all-in, I think that's where we are. So I think, with respect to where we’re in net cash usage is pretty much on the money with respect to what we expect to spend this year. It's been a little from last year, but that's actually related to some proceedings related to essentially a real estate situation, we'll be able to take advantage of a sublease to reduce our costs and some other minor savings. But generally speaking we have capped for R&D program on alter the COVID situation, so we've continued to spend as we planned on the R&D programs, but we have saved some cash on real estate related issues.
Sameer Joshi: Understood, thanks a lot, Oli.
Oliver Peoples: You’re welcome.
Lynne Brum: Thank you. Next question?
Operator: Our next question comes from the line of Robert LeBoyer with Ladenburg Thalmann. Please proceed with your question.
Robert LeBoyer: Hi, I had a question about the Rothamsted agreement. And if I'm understanding this, it sounds as if they've been doing this work with Omega-3s in Camelina. And you have licensed some of your technology that they will use going forward. And you will have the option to take your license to commercialize this. Am I right so far?
Oliver Peoples: Robert, no not quite. So let me just be quite clear about this, what we've done is we've agreed to fund to just financially support the ongoing research program, which as you pointed out has been ongoing at Rothamsted for a number of years. In exchange for that financial support that we're providing to the research program that they're guiding and developing on their own, we get an exclusive option to an exclusive license to the technology. Obviously, that's why we did it. So really what they are doing is continuing the program that we had ongoing with Yield10’s activity to support the financial. And what we get is a tremendous opportunity for our Camelina platform.
Robert LeBoyer: So you would be using their discoveries in your Camelina?
Oliver Peoples: Correct, it would ultimately be the same as for example, we have a license an exclusive license to the C3007 say from the University of Missouri, which we obviously have achieved approval from USDA, first of all genome edited Camelina and genome edited canola lines this last year. Similarly, we would have an exclusive license to be the commercial partner for Rothamsted Omega-3 oil technology.
Robert LeBoyer: Okay, so just the same way that you would license traits in from universities before you’re licensing the Omega-3 from Rothamsted, is that?
Oliver Peoples: Yes, and I think the difference is as regards the technology from Rothamsted, it's obviously at a pretty advanced level, they've already developed an Omega-3 oil trait and they’re working on far improvements to it, obviously their belief is that they can ultimately get to what would be the goal standard of the industry, which is a drop in land based sustainable replacement for the Southern Hemisphere fish oil. And the reason is the goal standard is because of the levels of EPA and DHA in Southern Hemisphere fish oil, which comes from guess from [indiscernible] is the highest that you can actually obtain from that. So, that would be a tremendous position to have and then our view based on the papers we've read, the other research we've done it's pretty clear, they have the best answer to this so far.
Robert LeBoyer: Okay, and it sounds if the end product is going to be producing Omega-3 in Camelina?
Oliver Peoples: Correct. They’re basically, yes essentially what it will be is, it'll be the second of our oil, nutritional oil product. The first nutritional oil is Camelina oil, as it is today. And they're the markets human nutrition, but also as useful as a supplement in an aquaculture feed, because it contains one Omega-3 fatty acid called ALA Linolenic and that can be converted by some species into small amounts of EPA and DHA. So it's better, it's a better solution than feeding soybean oil, for example. But it's not, really the solution that's required, which is the plant based oil that's high in both EPA and DHA fatty acids at similar levels to some of the fish oil.
Robert LeBoyer: So, this would be feed for agriculture, but not actually changing the salmon themselves, or the fish being raised in agriculture, this is just you’re making a plant that will be either used to extract the oil for humans or fed to the fish?
Oliver Peoples: Correct. Exactly, exactly. So this would be well, it would be a nutritional oil product. It's just going to promote agriculture feed usage. But inevitably, I believe it will end-up also being used in the chicken and other feed systems.
Robert LeBoyer: Okay, and in the previous question, you mentioned that there are no signing fees. Is that right? And it would just be part of your normal research budget?
Oliver Peoples: At this stage it’s just part of our normal research. If we execute a commercial license in the future, that would be a fairly typical commercial license.
Robert LeBoyer: Okay, on the topic of commercial licenses, is there anything foreseeable in the coming year?
Oliver Peoples: I think the guidance we’ve provided in that sort of late 2021 to 2022. In the event that any of our potential partners Bayer, GDM, Simplot or Forage Genetics will really see value in the traits of their test.
Robert LeBoyer: Okay, great. Thank you very much.
Oliver Peoples: You're very welcome.
Operator: Thank you. Our next question comes from the line of Matt Bullock with Maxim Group. Please proceed with your question.
Matt Bullock: Hi, this is Matt Bullock on for Anthony Vendetti. Thanks for taking my question. My question relates to the report data for the Camelina and Canola that you plan on reporting in the fourth quarter, or early 2021. What do you feel are some of the most important aspects of this data readout? And if the results are positive, what are the next steps and what could those results mean?
Oliver Peoples: Yes, so obviously, our work is primarily focused on Camelina. It's primarily focused on Camelina for oil content using genome edited traits, C3007 and E3902. And we're also testing for the first time, I remember the second time, the C3004 trait and part of [indiscernible] which would actually be a regulation trait under the GM field. So that's what we're testing. And what we're looking for is how well did the go in the field. Do we see things that are indicative of increased performance? But ultimately, it comes down to the oil place, do we see higher oil per acre and in the field, obviously, we see higher oil.
Matt Bullock: Okay, thanks. That's very helpful. I'll hop back in the queue.
Operator: Thank you. It appears, we have no additional questions at this time. So I'd like to pass the floor back over to Lynne for any additional closings.
Lynne Brum: Thanks, Jessi. And I'll turn the call back to Oli for closing remarks.
Oliver Peoples: Okay, so we've made strong measured progress across several crucial areas this year, most recently signing a research license with GDM for soybean, signing a collaboration with Rothamsted, advancing a pipeline of traits and strengthening our balance sheet. In addition, over the course of 2020 the outlines of our business plan for Camelina has come together. We believe the green platform can be used to address a wide range of traits in a broad array of food and feed crops, and enable the development of advanced Camelina varieties for large scale production of proprietary specialty products. We’re currently pursuing three distinct revenue opportunities, licensing of our yield and performance traits for use in major crops, product sales based on our Camelina platform for producing nutritional oils and PHA biomaterials and strategic industry collaborations and R&D revenues. I'd like to personally thank all of you for joining us on the call tonight, and especially our shareholders for your continued support. And I want to thank everyone at Yield10 for setting us on track to reach our goals in 2020. Have a nice evening.
Operator: Ladies and gentlemen, you may now disconnect.